Operator: Good morning, ladies and gentlemen, and welcome to the Fourth Quarter 2021 Arbor Realty Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference call is being recorded. [Operator Instructions] I would now like to turn the call over to your speaker today, Paul Elenio, Chief Financial Officer. Please go ahead.
Paul Elenio: Okay. Thank you, Ashley, and good morning everyone and welcome to the quarterly earnings call for Arbor Realty Trust. This morning we'll discuss the results for the fourth quarter and year-ended December 31, 2021. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risks and uncertainties, including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans, and objectives. These statements are based on our beliefs, assumptions, and expectations of our future performance, taking into account the information currently available to us. Factors that cause actual results to differ materially from Arbor's expectations in these forward-looking statements are detailed in our SEC reports. Listeners, of course, should not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. I'll now turn the call over to Arbor's President and CEO, Ivan Kaufman.
Ivan Kaufman: Thank you, Paul, and thanks to everyone for joining us on today's call. We're very excited today to discuss the significant success we had in closing out what was an exceptional 2021 as well as our plans and outlook for 2022, which we are confident will be another outstanding year. As you can see from this morning's press release, we had another record quarter and 2021's results reflect one of our best years as a public company. It is very important to continue to emphasize the value of having multiple products with diverse income streams, which has allowed us to consistently grow our earnings and dividends in all cycles while maintaining a very low dividend payout ratio. We strategically built an annuity-based business model, creating multiple income streams from a single investment. As a result, not only do we generate strong risk adjusted returns on our capital, which positively affect our current earnings, more importantly we are also building a much higher quality future earnings and dividend growth story by ensuring that our assets will provide us with multiple other products in the future. And this is one of the major differentiators of our business platform, which is why we strongly believe we should consistently trade at a substantial premium and much lower dividend yield than anyone in our peer group. In fact, with the recent pullback in the market, we are now trading at a dividend yield of approximately 8.8%, which is actually higher than the yield of our peer group for the first time in several years. This is despite the significant advantages of our business model and a long track record of consistent dividend increases compared to our peers, most of which have been unable to grow their dividends. We strongly – we feel strongly that our current stock price in no way reflects the true value of our franchise presenting investors with an unparalleled buying opportunity. As described in this morning's press release, our record fourth quarter results combined with a very positive outlook on the long-term growth of our platform has allowed us to once again increase our dividend to $0.37 a share. This is our seventh consecutive quarterly dividend increase and our tenth consecutive year with consistent dividend growth, putting us in a very elite class of companies all while continuing to maintain the lowest dividend payout ratio in the industry. We built a premium operating platform that is focused on the right asset classes and a very stable liability structures. We have a thriving balance sheet, GSE agency, private-label, single family rental as well as an industry leader securitization platform that allowed us to produce a long track record of exceptional performance with consistent earnings and dividend growth. As a result, we've been the top performing REIT in our space for five consecutive years now in all the major performance metrics including earnings and dividend growth, ROE and total shareholder return. And again, we are very well positioned to succeed in every market cycle, which gives us great confidence and our ability to continue to have tremendous success going forward. Before we discuss the details of our quarterly results, I want to highlight some of our more notable 2021 accomplishments, which include generating substantial growth in our earnings allowing us to increase our dividend 4x or 12% to an annual run rate of $1.48 a share delivering total shareholder return of 39% in 2021 and 221% cumulatively for the last five years with an annualized return of 26% achieving industry leading ROEs of 90% for each of the last two years producing record originations of $16 billion, a 76% increase over last year, originating $10 billion of new balance sheet business increasing our portfolio 122% in 2021 to $12.2 billion, producing private-label originations of $1.4 billion, a 276% increase over the last year, growing our servicing portfolio to $27 billion, a 10% increase from 2020 and a 34% increase over the last three years, closing four non-recourse CLO securitizations totaling $5.2 billion and two private-label securitizations for $1 billion through our industry-leading securitization platform and raising $1.7 billion of accretive capital to fund our balance sheet growth and increase our market cap to over $3 billion. Turning now to our fourth quarter performance, as Paul will discuss in more detail, our quarterly financial results were once again remarkable. We produced distributable earnings of $0.62 per share, which is well in excess of our current dividend representing a payout ratio of around 60% for the fourth quarter and 70% for the full year 2021. In our balance sheet lending business, we have another outstanding quarter producing record volumes of $4.3 billion. We're a top balance sheet lender in the industry and are seeing tremendous growth in efficiencies as we continue to scale our platform. As a result, we grew our balance sheet book 122% in 2021 to $12.2 billion on record originations of $9.7 billion and we have a very large pipeline, which gives us great confidence in our ability to continue to meaningfully grow our loan book in 2022. And again, these balance sheet loans create significant value for our platform as they are not only accretive to our current earnings and dividends, but also allows us to build a pipeline for two to three years of new GSE agency and private label loans that produce additional long dated income streams, ensuring the long-term growth of our platform and creating high quality earnings and dividends for the future. We have consistently been a leader in the CLO securitization market as finance our high quality balance sheet portfolio with the appropriate liability structures continues to be one of our key business strategies. We are very successful in continuing to access the CLO securitization market in 2021, including closing our largest CLO to date totaling $2.1 billion in the fourth quarter, as well as closing another $2 billion CLO just last week. The utilization of these vehicles has contributed greatly to our success by allowing us to appropriately match fund our assets with non-recourse non market-to-market long dated debt and generate attractive lever returns on our capital. We continue to experience strong growth in our GSE agency and private label business programs as well. We originated approximately $1.6 billion in agency loans in the fourth quarter and $1.9 billion, including our private label business, equally as important, we have a robust pipeline giving us confidence our ability to continue to produce consistent agency volume in 2022. Our GSE agency platform continues to offer premium value as it requires limited capital and generates significant long dated predictable income streams that produces significant annual cash flow. Additionally, our $27 billion GSE agency service and portfolio, which has grown 10% in the last year is mostly prepayment protected and generates approximately $121 million a year and growing and reoccurring cash flow, which is up 8% from a $112 million annually last year. This is in addition to the strong gain on sale margins we continue to generate from our originations platform, which combined with new and increasing servicing revenues will continue to contribute greatly to our earnings and dividends. And earlier this week, we were pleased to have closed our fourth private label securitization totaling $490 million, which continues to demonstrate the strength and diversity of our versatile lending platform and tremendous securitization expertise. We also had a great year in our single-family rental platform. We produced approximately $900 million of volume in 2021, including approximately $400 million in the fourth quarter. Additionally, we currently have over $1 billion of additional deals in our pipeline, making us optimistic about the growth opportunities in this segment of our business going forward. We are a leader in the build-to-rent space, which provides us with the opportunity to originate construction bridge and permanent loans on the same transactions. And again, similar to our balance sheet business, this platform provides us yet with a path to future transactions that will produce additional long dated income streams. In reflecting on 2021, we had an exceptional year and clearly outperformed our peer group. We are the best performing REIT, five years in a row delivering a 26% annualized return over the same time period. We are also well positioned for continued success in 2022 to our unique multi-tiered annuity based operating platform that provides us with a future annuity of high quality long dated income trend making us confident in our ability to continue to grow our earnings and dividends and significantly outperform our peers. I will now turn the call over to Paul to take you through the financial results.
Paul Elenio: Okay, thank you, Ivan. As Ivan mentioned, we had another exceptional quarter producing distributable earnings of $94 million or $0.57 per share, and $0.62 per share excluding a one-time realized loss of $8 million on a non-multifamily asset that we had taken a reserve on during the height of the pandemic. We also had a record year with distributable earnings of $2.01 per share in 2021, a 15% increase over our 2020 results. And these results translated into industry high ROEs again of approximately 19% in 2021, allowing us to increase our dividend to an annual run rate of a $1.48, a share reflecting four increases in 2021 and seven consecutive quarterly increases representing a 23% increase over that time span. Our financial results continue to benefit greatly from many aspects of our diverse annuity based business model, including significant growth in our agency, private label and balance sheet business platforms that produce substantial gain on sale margins, long dated servicing income and strong levered returns on our capital. Additionally, as we’ve mentioned in the past, the credit quality of our portfolio has been outstanding. We have very few specific reserves left on a handful of non-multifamily assets that we took in the beginning of the pandemic. And we also made significant progress over the last few quarters in our non-performing loans as trends continue to approve. We received another $32 million payoffs and pay downs in the fourth quarter related to three loans leaving us with effectively only one remaining non-performing loan for $20 million. We have always proud ourselves on investing heavily in our asset management function and the success we’re having in working out these assets further demonstrates the value of our unique franchise. Looking into results from our GSE agency business. We originated $1.6 billion in GSE loans and recorded $1.5 billion in GSE loan sales in the fourth quarter. We also continue to produce consistently strong margins in our GSE loan sales, generating in a margin of 1.52% in the fourth quarter compared to 1.60% in the third quarter. Additionally, as Ivan mentioned, we remained very active in our private label program, originating $282 million of new loans in the fourth quarter, as well as completing our third private label securitization totaling $535 million in October and our fourth securitization total $490 million earlier this week. And in the fourth quarter, we also recorded $35 million of mortgage servicing rights income related to $1.8 billion of committed loans representing an average MSR rate of around 1.88% compared to 1.75% last quarter, mainly due to a greater mix of Fannie Mae loans in the fourth quarter that contain higher servicing fees. Our servicing portfolio also grew 9.5% in 2021 to $27 billion with a weighted average servicing fee of 45 basis points and an estimated remaining life of nine years. This portfolio will continue to generate a predictable annuity of income going forward of around $121 million gross annually, which is up approximately $9 million or 8% on an annual basis from the same time last year. Additionally prepayment fees related to certain loans that have yield maintenance protection increased again substantially in the fourth quarter to $20 million compared to a $11 million in the third quarter, mainly due to significantly more runoff this quarter as a result of the continued increase in real estate values. And our balance sheet lending operation, we grew our portfolio another 33% this quarter to $12.2 billion on record quarterly volume of $4.3 billion. Our $12.2 billion investment portfolio had an all in yield of 4.62% at December 31 compared to 4.97% at September 30, mainly due to higher rates on runoff it’s compared to new originations during the quarter. The average balance in our core investments increased substantially to $10.5 billion this quarter from $8.2 billion last quarter, mainly due to the significant growth we experienced in both the third and fourth quarters. The average yield in these investments was 5.03% for the fourth quarter compared to 5.55% for the third quarter, mainly due to higher interest rates on runoff as compared to originations in the third and fourth quarters combined with $3 million in back interest collected in the third quarter from the payoff of a non-performing loan. Total debt on our core assets was approximately $11.2 billion at December 31, with an all-in debt cost of approximately 2.61%, which was down slightly from a debt cost of around 2.64% at September 30, mainly due to a reduction of the cost of funds from our new CLO vehicles and reduced rates on warehouse and repurchase agreement during the fourth quarter. The average balance on our debt facilities was up to approximately $9.4 billion for the fourth quarter from $7.3 billion for the third quarter, mostly due to financing the growth in our portfolio and issuing 180 million of new unsecured notes during the fourth quarter. And the average cost of funds on our debt facilities also decreased to 2.65% for the fourth quarter, from 2.76% for the third quarter, again, mainly due to reduced pricing in our CLO vehicles and warehouse facilities. Our overall net interest spreads in our core assets decreased to 2.38% this quarter, compared to 2.79% last quarter. And our overall spot net interest spreads were also down to 2.01% at December 31st from 2.33% at September 30th due to yield compression on new originations as compared to run off. That completes our prepared remarks for this morning. And I'll now turn it back to the operator to take any questions you may have. Ashley?
Operator: Thank you. [Operator Instructions] We'll take our first question from Steve DeLaney with JMP Securities. Please go ahead.
Steven DeLaney: Thanks. Well, hello, Ivan and Paul, congratulations on an excellent close to last year. I think the thing that jumped off the page the most to me, it's a lot – a lot of good things in the report and in the year, but the dramatic growth in your structured business in terms of origination volume, you did $9.7 billion, but $6.8 billion or 70% of that came in the second half of the year. So my question, the strong demand that you're seeing from multifamily bridge loans in the market, do you expect that to carry over into 2022? And is it possible that 2022 could set a new record for origination volume in the structured business? Thank you.
Ivan Kaufman: Yeah, thanks Steve. Clearly, there was a little bit of a shift in the environment and I'll give you some of the reasons for it and why we're so well-positioned and so dominant in that space. And if we got more personnel and more ability, we could probably have done more. We’re limited in what we could do, and we're still limiting what we could do. I think with the huge jump in rates of rental rates and is between 10% to 25% increase in rents from people buying properties and not going for permanent financing, so they're going for more transitional financing before they get to the permanent financing, so they're a very, very big shift. Through the COVID period, rents were fairly flat. And then right after, the initial periods of COVID rents really accelerated. So people are buying multifamily properties, taking a year to two years to turn those rents and then getting the benefit of an increased NOI and going for permanent. So that's been the shift in the market. We are the best balance sheet lender in the business when it comes to multifamily. We do a great job and that business is growing just dramatically. We've probably turned away just a huge amount of business. In terms of the outlook for 2022, we are running at about $1 billion a month on our books for closings for the first quarter. We're still turning down a significant amount of business. We have restrictions. Human capital is a very, very big restriction today. As we all know, hiring people, retaining people is a big task. We're doing a good job with retention, but hiring new people is very difficult. So right now the outlook on the balance sheet is still very strong. And we still are a market leader in that that place in the market.
Steven DeLaney: That's very helpful. And thanks for the color on the – sort of the mindset of these borrowers that it's – it's not buy it take three or four years renovated completely. I mean, they're seeing a near-term opportunity and I can understand how that is boosting your demand for bridge. So thank you for that. And then one follow-on question, your SFR business, still relatively small, but strategic for sure. So $57 million in originations in the fourth quarter, and I see you're servicing about 190. What I was trying to reconcile because the numbers weren't really adding up, you're showing that you have $729 million in total commitments and I'm just trying to understand kind of rationalize like where do we see the – or have we seen the origination volume that would've contributed to the $700 million of total commitments?
Ivan Kaufman: Yeah. So the various segments of that business, one is providing fixed rate production which is a part of what we're doing. And I think we're running that side of the business ramping it up to about $20 million a month which is our goal, where we originate fixed rate product and we sell them as fixed rate loans. We don't hold them for securitization but we do sell them into the market and we do very well with those. The second element of our business, providing floating rate product for people buying scattered site, single-family rentals either from builders or scattered sites, developing them. And that part of our balance sheet is growing. Paul could tell you how much is on the balance sheet and how much is in the pipeline. And the third piece of the business, which we love, which we are the market leader. And I believe we are, is in the build-to-rent communities where people are building build-to-rent communities, we provide them a construction loan. It stabilizes, we provide them a bridge loan, and then we do a takeout loan. That's where we put a lot of work, put a lot of energy, spent a lot of money and that's where this is going to be an exponential amount of return on that capital in 2022, 2023 and 2024. Paul, you want to give some color on the numbers?
Paul Elenio: Yeah, I think, Ivan's laid out to different components of the business, Steve. It's a little complicated from a financial modeling perspective, I get. What we're trying to do for you guys is give you a sense of the breadth of the platform when we disclose the committed volumes that we've committed to during the year. So, you know the transactions we've committed to the size, but as Ivan said there's different components and some of those build-to-rent and scattered site commitments aren't funded right up front, right? They're funded over time. So the commitments could be large and the fundings could be small over a period of time. So the first thing we did was try to disclose to you in the press release, what we've committed to give you a sense of where that business is going. When you look at the numbers that hit the balance sheet, you're right, $57 million was what we funded in permanent fixed rate loans that hit the agency side. And we’re selling those in the market at pretty high margin without retaining any risk. And then we’ve got the build-to-rent fundings, and then we’ve got the bridge loans funding. So when I look at the quarter, we probably funded 115 million of prior commitments on build-to-rent loan - commitments. We funded maybe even more than that probably 150 million. And then we had about 60 million of, as you said, permanent loans. But to-date, year-to-date through December 2021, we originated about 170 million of permanent product, 136 of that was fixed rate that we’re selling through the market and booking a profit on not retaining any risks. The other 35 is sitting on our balance sheet. Total on our balance sheet right now is about 450 million. And that consists of the balance sheet part of the small amount of fixed rate loans we have on our balance sheet, and then all the fundings we’ve done on between bridge loans and fundings we’ve done on commitments for scattered site and build-to-rent products. So we’re just trying to give you, it’s a little complicated, but we’re trying to give you a sense of where the business is going with committed volume, but the funded volumes trail, as Ivan said, and those are the numbers that are in the balance sheet.
Steven DeLaney: Got it. And that’s very helpful color. Go ahead. I’m sorry.
Ivan Kaufman: Yes, I do want to reiterate just as I did before that we are resource constrained. We could be doing significantly more, but we just don’t have the bodies to process the business and we’re at our capacity, which is the first time that’s ever happened in my career where you can’t hire people to manage new business and you’re turned away business, crazy, well.
Paul Elenio: And then Steve…
Ivan Kaufman: High quality problem, I think. Yes.
Paul Elenio: Yes. The last thing I just wanted to add to Ivan’s commentary before about our bridge run rate, just to give you some numbers. We did originate, I think just about 850 million in January, had 150 million of runoff, so as Ivan said we’re running in that 800 to 1 billion per month. And we’ve got some constraints, but obviously that business is we have a large pipeline on that business is still very active.
Steven DeLaney: Thank you both for the comments. Helpful.
Operator: We’ll take our next question from Rick Shane with JPMorgan. Please go ahead. Your line is open.
Rick Shane: Hey guys. Thanks for taking my questions this morning. Can you hear me?
Ivan Kaufman: Yes, Rick, how are you?
Rick Shane: I’m doing well. Thanks. A couple things. So I think implicit in the comments about labor markets and growth opportunity that’s a signal to all of us to think about expense structure going forward. What type of expense growth do you think we should anticipate in 2022? Just so we can sort of level set there given the language around employees?
Ivan Kaufman: Before Paul gets into that detail, we deal with retention and things of that nature consistently over the course of different cycles. And we have a lot of flexibility in the way we do compensate people and even having to pay off for people. We do it on a long-term basis with a lot of retention aspects to it. So we have the benefit of people who’ve been with us for five, 10, 15, 20 years who are loyal to the company. We do have to recognize that they do have to be adjusted to where the market currently is. But we’re able to do that with long-term incentives rather than annual payouts and get the benefit of having long-term attention. But with that, I’ll turn that over to you, Paul.
Paul Elenio: Sure. So it’s a very good question, Rick. And when I look at our numbers for 2021 versus 2020, 2020 was a COVID year, so less travel, less conferences, things of that nature. So it’s a hard comparison. But when I look at 2021 versus 2020, we’re up about, I’d say 20% year-over-year in comp and G&A that’s without commissions, which as you know are variable based on our margins. And I’d say, when I look at the model, I think if it’s similarly 15% to 20% growth in that number is probably reasonable, given the cap, the human capital constraints we have and the way we have to retain people, it’s hard to totally protect the number, but I would say consistent with last year’s growth is probably similar to the way I look at the future model.
Rick Shane: Great. And I know no one’s got a crystal ball and I appreciate your – both of you, your willingness to embrace the question and think forward on it. So thank you. The second thing is that when we think about the structured business, I kind of think of that as potential energy ultimately for the agency business. And when we look at the terms of those loans, that’s clearly the business model. I am curious when you underwrite loans and think about business plans, are you starting to contemplate higher interest rates for exits as you’re taking on those loans within the structured product business, with the idea of than it may be more expensive for managers, owners to get financing,
Ivan Kaufman: We’re constantly readjusting our models based on different economics. And we always underwrite our bridge loans to where the takeout is going to be, and we use a certain constant. So that’s something that’s different about the way we do our business. Back in November, we actually took a look at where the market is. We took a look at where rents have increased to readjust our forecast on rent growth a little bit. While we have exorbitant rent growth, we readjusted our rent growth because people are starting to think that 10% and 20% rent growth is going to last forever. We think that level of rent growth is going to subside this year as they turn their units and the market adjusts. And then we readjust our rent growth back to a 3% normalized rate. So that’s a very big adjustment. In terms of increasing the constant that we’re using, we’re constantly adjusting to where the market is. It’s something that we do traditionally. We’ve also reallocated our pricing to be more aggressive on lower loan to value in primary markets starting in November. So we’ve adjusted our portfolio lending programs as well on a credit basis. So we are sensitized to all of those different factors in our underwriting.
Rick Shane: Great. And again, I appreciate the specificity of the answer. Thank you guys very much.
Ivan Kaufman: Thanks.
Operator: And we’ll take our next question from Stephen Laws with Raymond James. Please go ahead. Your line is open.
Stephen Laws: Yes. Hi good morning. Ivan and Paul, give me a thoughts around the repayment outlook, obviously some significant benefits and recent results from the early repayments kind of, how do you see that playing out over the 2022 and come to the levels we should expect contribution from that?
Paul Elenio: Sure. So, I think we’ve had this conversation a few times, Steve and it continues to blow me away how much prepayment income we’ve been able to receive. I think on the outlook, I think when I look at the numbers, we do have January’s numbers. I think we’ve got $3 million already in the door in January. And while I do expect just this slow over time, it may be slightly elevated in the first and second quarter, but certainly as you know, when rates rise, the yield maintenance protection changes. So, we are modeling ourselves to a much more normalized number. We did $38 million in prepayment penalties in 2021, comparatively in 2020, we had $13 million, we’re modeling somewhere in between that given where we think rates could go and what that will do to the yield maintenance provisions. However, having said that intuitively for rates rise, then we should see less runoff. And although you won’t get the one-time fees like you did last year, you’ll retain the servicing strip, which is more long dated and you have that annuity. So, I guess that’s the kind of way we look at, where prepayments could go based on, where we think rates could go and what that does to the yield maintenance portion of your portfolio.
Stephen Laws: Great. Thanks for the detail there Paul. And gain on sale outlook, as we think about that, kind of, range as we think about moving to the year, I know you mentioned in your prepared marks benefited this quarter from a higher mix of Fannie, can you give us some commentary around that as we think about our model, for the next couple – next year in 2023?
Paul Elenio: Yes. So, I think, what I’ve said many times on calls is we try to guide to anyway between 101 and 101.50 [ph], clearly in 2021, we had some tailwinds and we were able to get a significant margin above that. I think we can in at 101.90, some of that has to do with high margin business. We did more FHA business, which was up substantially, which was great. I do think we still have a strong pipeline of FHA business. And I think we’ll be able to even beat our number last year, which will help that margin because that’s 104 business. The APL business, I think Ivan can comment, but I think the way you look at that and the agency business, as we look at modeling between a 101, 101.5, if you go back and look at 2020, we came in at 101.40. This year, we came in at 101.90, but I’m comfortable even with rates rising, that will be between that 101 and 101.5, Steve. And that’s kind of how we put our models together going forward.
Stephen Laws: Right. That’s helpful. Thanks, Paul,
Operator: We’ll take our next question from Jade Rahmani with KBW. Please go ahead.
Mike Smith: Hey guys, this is actually Mike Smith on for Jade. Just a couple around breaks. Are you seeing any changes in sentiment behavior, or underwriting in the part of investors?
Ivan Kaufman: I don’t think we’ve seen, much of a change. I mean, clearly loan proceeds going to be cut, with rates going up. There’s been a very significant rise in the 10-year from, a range of 150 now a range of, 190 to two and a quarter in my book. And that’s definitely affecting, loan proceeds for people. And, it’s pretty consistent underwriting guidelines haven’t changed that much. I think just the amount of proceeds people are taking out or the amount of equity that has to go and is going to be changing on a go forward basis. I think you’ll see a little bit of a shift maybe the five and seven-year product, so people can get a little more proceeds. So there may be a shift a little bit from a 10-year product down to a five and seven, but you’ll have to see a little bit more equitization in transactions today in order to qualify for long-term fixed rate financing.
Mike Smith: Great. That’s helpful color. And then just as follow-up, do you have any idea of what level of rate increases would you kind of start to impact the market both in terms of, investment trends and credit performance?
Ivan Kaufman: So, right now there’s been no adjustment in cap rates on multifamily properties, despite the fact that, rates are up 50 basis points. My feeling is cap rates should mathematically adjust, but the multifamily asset class is still so attractive. And there is some rent growth left in there. So, I do believe that there has to be a catch up along the way. And that will come, if this continues and if the tenure continues to widen out, but we haven’t seen an adjustment yet, but I believe it’s a little bit of a leg, but we’ll see what happens. People are looking at the multifamily asset classes that attractive and they’re willing to get a lower return and their money at the current time. So either it’s lagging or there’s an adjustment in investor sentiment returns.
Mike Smith: Great. Thanks a lot for taking the questions and congrats on a strong quarter.
Ivan Kaufman: Thanks.
Paul Elenio: Thanks. Actually, I believe Lee Cooperman is in the queue. I’m trying to get his questions answered asked, but I don’t. Can you hold them through?
Operator: [Operator Instructions] And unfortunately at this time I do not have anyone in queue at the moment.
Ivan Kaufman: Okay. All right. Well thank you everybody for your participation. And throughout the year, it was a phenomenal year. Our outlook is for the first quarter is very strong and our pipeline is very significant and we look forward to continued participation. Have a great day everybody and a good weekend. Take care.
Paul Elenio: Thanks everyone.
Operator: Thank you. And this does conclude today’s program. Thank you for your participation. You may disconnect at any time.